Operator: Welcome to the Black Diamond's Fourth Quarter 2020 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Jason Zhang, Director, Investor Relations, for opening remarks. Please go ahead.
Jason Zhang: Thank you and good morning. Thank you for attending Black Diamond’s fourth quarter 2020 results conference call. With us on the call today is our CEO, Trevor Haynes; and CFO, Toby Labrie. We are also joined today by COO of Modular Space Solutions, Ted Redmond; and COO of Workforce Solutions, Mike Ridley. After our formal remarks, there will be a question-and-answer session. Our comments today may include forward-looking statements regarding Black Diamond's results. We caution that these forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. Management may also make reference to non-GAAP measures in today's call such as adjusted EBITDA or net debt. For more information on these terms, please review the sections of Black Diamond's fourth quarter 2020 MD&A and analysis entitled forward-looking statements, risks, and uncertainties, and non-GAAP measures. This quarter's MD&A, news release and financial statements can be found on the company's website as well on SEDAR. Dollar amounts discussed in today’s call are expressed in Canadian dollars unless otherwise noted and are generally rounded. I'll now turn the call over to Trevor Haynes to review the quarter.
Trevor Haynes: Thank you, Jason. Good morning and thank you for joining us to discuss our fourth quarter and 2020 year-end results. I'd like to start by saying that I'm extremely proud of our team at Black Diamond for the accomplishments achieved this past year against a unique and challenging backdrop brought on by the COVID-19 pandemic. We have continued to execute on our plan to grow and diversify our business and believe the fourth quarter results are yet another dataset that shows that our plan is working. We expect to carry on this momentum into 2021 and are seeing supportive tailwinds across essentially all of our segments. Highlights in the quarter include the acquisition of Vanguard Modular, record rental revenue generation in our MSS division, a $3 million funding grant from the Opportunity Calgary Investment Fund to support growth of large LodgeLink and another quarterly record of room booking volumes within LodgeLink. Since the start of the 2021 year, we've also secured new project awards that increase our WFS contracted revenue by over $36 million. In the MSS segment, rental revenue grew to $11.3 million, or by 31% from Q4 2019, which is a fourth consecutive quarterly record. Included in our fourth quarter results is one month of contribution from our acquisition of Vanguard Modular. As mentioned, during the quarter, the company closed the acquisition of Vanguard Modular Building Systems for US$61.7 million, including US$3 million of deferred receivables. The transaction added approximately 2,200 Modular Space rental assets to our U.S. MSS fleet and strengthened our position in the attractive high return education markets in the southeastern and Gulf Coast States. To date integration of Vanguard is progressing with annual synergies of approximately US$500,000 targeted for exit Q4 run rate. More importantly, we are experiencing increased opportunities through our combined platform in all segments within Black Diamond, allowing us to leverage our larger market presence. The MSS segment remained resilient throughout 2020 and the outlook remains positive as we are seeing ongoing opportunities to put organic growth capital to work at attractive rates of return across North America. We expect steady and continued growth in rental revenues as a result of strong utilization, increasing rental rates, ongoing fleet additions and increased returns through value-added products and services, or VAPS. Despite COVID-19 related challenges throughout the year and into the fourth quarter, our WFS business unit is also seeing positive momentum. Since the start of 2021, as I mentioned, the large format camp rental business has added more than $36 million of new contracted revenue, which includes our previously announced Australian contract, additional assets and services in support of the coastal gasoline project and further contracts with mining customers in Eastern Canada. It appears that our U.S. wellsite and lodging businesses have troughed in terms of utilization and are seeing a gradual recovery, which depending on the pace with which COVID-19 restrictions ease should continue throughout the year. Australia continues to experience strong utilization rates and we expect this business unit will continue to put organic growth capital to work. We also remain very well positioned with respect to the Goldboro LNG project. As we had announced in October of 2020, Black Diamond and our Mi'kmaq indigenous partners in Nova Scotia received a letter of award to provide the Goldboro LNG project with a turnkey accommodation solution for up to 5,000 workers. We remain highly engaged with the customer and key stakeholders. However, we understand that the project must still clear funding hurdles before a final investment decision can be made. Finally, we remain very positive regarding our LodgeLink platform, a digital marketplace offering that is bringing innovation to the crew travel industry. LodgeLink has had another quarterly record in room nights booked in the fourth quarter with approximately 36,000 room nights of bookings, despite pandemic related headwinds for the travel industry. At the end of 2020, the platform had approximately 2,500 listed properties representing roughly 242,000 rooms of capacity and services 582 distinct corporate customers. Key growth indicators, including room night bookings, customer and supplier growth continue to scale higher in the first quarter of 2021. We believe the platform is positioned for strong growth this year, assuming pandemic related travel restrictions continue to ease in the U.S. and Canada. During the quarter, we also announced that LodgeLink had received up to $3 million of funding from the Opportunity Calgary Investment Fund. The funding is conditional on various hiring metrics being achieved over the next five years. This ground will allow the platform to efficiently recruit tech talent to our Calgary technology hub. As we look forward, we expect to show increased diversification by region and industry segment, as the full effect of Vanguard is included, and our WFS segment continues to grow in the mining sector of Eastern Canada. Overall, we are optimistic that 2021 will show improving results as we continue to progress our strategic objectives of growing and diversifying our MSS business, unlocking operating leverage from our existing fleet of remote accommodation assets in WFS and scaling our LodgeLink travel tech ecosystem. We are off to a good start. I will now turn the call over to Toby for some further details on the fourth quarter financial results. Toby?
Toby Labrie: Thanks, Trevor. Total adjusted EBITDA for the quarter was $11.1 million, an increase of 4% from Q4 2020. There was no contribution from the Canadian Emergency Wage Subsidy during the quarter. Adjusted EBITDA for MSS was $10 million, up 49% from the same quarter last year, and total revenue of $31.4 million was up 47% from the comparative quarter. This is attributable to continued growth in rental revenue, one month of contribution from Vanguard and an increase in sales revenue in the quarter. Adjusted EBITDA for Workforce Solutions was $4.3 million, down 39% from the same quarter last year. WFS revenue of $24.9 million was down 4% from the comparative quarter. The U.S. wellsites and lodging assets continued to see soft conditions brought on by COVID-19 during the quarter. We believe utilization and occupancy has generally bottomed in these assets. This combined with the recently awarded and expanded contracts in Australia, Eastern Canada, and for energy infrastructure customers in Western Canada is expected to drive improvement for WFS in 2021. Total administrative costs for the quarter of $9.1 million were up 15% from the comparative quarter, primarily due to an increase in personnel costs, including the addition of Vanguard and Spectrum personnel. There's also been a steady increase in staffing levels within LodgeLink as we remain focused on growing this platform. Total administrative costs as a percentage of revenue of 16% was down 1 percentage point compared to 17% in the comparative quarter. At the end of the quarter net debt of $172 million was up from $111 million in Q3 2020, primarily due to the acquisition of Vanguard. Excess borrowing capacity under the company's asset-based credit facility was approximately $84 million and the value of eligible rental inventory used to calculate the company's borrowing base was approximately $292 million at the end of the quarter. The company exited the quarter with a net debt to adjusted EBITDA ratio of 4.2, which is up due to the acquisition of Vanguard. Net debt to adjusted EBITDA with Vanguard's trailing 12 month results included was 3.4 and we expect this leverage ratio to be back within our target range of 2x to 3x by early 2022. We continue to employ strategies that aim to enhance the current position and long-term prospects of the company. We're experiencing strong growth in several key markets and the business is realizing the benefits of its diversification efforts. Black Diamond remains committed to its strategy of investing in growing markets, selling or redeploying underutilized assets, managing costs and improving financial flexibility. With that we would like to turn the call back over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Good morning guys. Nice to see you hosting a conference call again.
Trevor Haynes: Thank you, Frederic.
Frederic Bastien: Maybe if we can talk about your position right now with respect balance sheet and I appreciate that per forma it's now 3.4x and that you're planning to bring it down to below 3 by year end. But if you're presented with another opportunity, do another Vanguard out there, are you in any way limited to act on that acquisition?
Toby Labrie: Thanks for the question, Frederic. It's Toby here. The answer to that is no and we do have, as I mentioned, plenty of liquidities available under our ABL facility. We do have – our target leverage range on debt to EBITDA of 2x to 3x, which we think we can fairly quickly get back to after the acquisition of Vanguard. So we think we can absorb that relatively quickly and the added results of Vanguard to our operating cash flow also continue to give us added confidence as well as with our growing MSS rental revenue on the platform pre-Vanguard is all giving us enhanced confidence in our cash flows and our ability to bring our leverage back down to our target ratio. And that's why at this point we're quite comfortable and continue to maintain that. We're comfortable with the strength of our balance sheet today.
Frederic Bastien: Okay. You did talk about some of the recent contract awards that you had or additions expanding scope with respect to workforce solution, which is great, and I think you had some on the east, west and then even in Australia. But obviously your focus in the last several years has been to really grow the MSS business. But you're obviously seeing WTI are going to arise significantly in the last several weeks. And just wondering what the capacity – can you explain better the capacity that resides within the Workforce Solutions business to potentially take up some of that increased demand that might come out of the increased prices?
Trevor Haynes: Sure, thanks. It's important to note that we've worked really hard over the last several years while the oil and gas sector has been notably slow, worked really hard to service other customers in other regions with our assets and skill set. And MSS has been a big part of that strategy of increasing by fleet size, but also growing in key markets that give us greater stability and a broader base, if you will. However, we have not turned away from our oil and gas customers. We are well positioned to service them as their demands increase. We certainly have been carrying spare capacity in our small format accommodation assets, which would be wellsites, drill camps and the like, as well as our liquid and solid containment, our tankage assets and various other types of power, lighting, heating, et cetera. We've been successful also using those assets to service other industrial customers, but certainly we have the capacity and we're well positioned with location of key terminals in West Texas, Colorado, North Dakota up into the Canadian shales in Grande Prairie, Fort St. John and even down in Southern Saskatchewan in our Estevan terminal. So a perfect situation for us is we continue to see the growth outside of oil and gas and continue to expand our capacity with the education markets, general commercial industrial and in our camp business, also servicing disaster relief, mining, infrastructure, and then a recovery in oil and gas. And that's where we get maximum operating leverage of some of those assets that haven't been producing coming back onstream. So we're well positioned and we're excited to get to work for our oil and gas customers again.
Frederic Bastien: Thanks, Trevor. Last question from me on LodgeLink. What would be sort of the milestones that you'd look for this business in the next year or two?
Trevor Haynes: We're certainly focused on volume growth. We have done a lot of work on improving or adding features and tools to the product itself to improve the customer experience. We think we've come a long ways and have a very compelling offering for managing logistics related to crew travel, all forms of travel accommodation, as well as air and ground, much more enhanced billing and reporting features, et cetera. So a full suite to offer to our corporate customers for managing in their crew based travel. And now it's an expansion on the commercial side. We've been adding business development resources in various parts of the U.S. and looking to push into Eastern Canada for example. And so, very focused on the growth of booking volumes, that's why we're excited about setting another quarterly record in Q4 and Q1 is off to a really strong start. So, near-term, we're looking for fairly simple benchmarks like consistently being over a thousand rooms per day sold and then moving upwards through the year to 1,500 as a rough target seeing the margin expansion, which comes with scale, and seeing that compounded growth. We think we've got all the ingredients. We've been held back a little bit by COVID restrictions, global business travel. According to the GBTA, it's down about 90% in 2020. So, we think setting a volume record in Q4 is a meaningful achievement and those numbers would have been higher without COVID travel restrictions.
Frederic Bastien: So, do you need to bring in additional expertise or strategic partners to help you continue to grow?
Trevor Haynes: We're certainly looking at both. You would have noticed, we announced a couple of new directors being added to our board.
Frederic Bastien: I do.
Trevor Haynes: That one of those directors has had 25 years of senior leadership experience with Sabre, which is one of the largest travel tech companies on the planet. And a lot of knowledge and experience around a scale-up of tech related businesses with a good understanding of travel tech. So, there is an example there. And then within the business, certainly we're adding skill sets on the commercial side, as well as marketing and product, and even within the finance operation. So, we think as volumes rise, we continue to bring expertise onto the team to support that volume, but also to help us get to the next level of scale.
Frederic Bastien: Great, thank you.
Operator: The next question comes from Brent Watson with Cormark Securities. Please go ahead.
Brent Watson: Hi, guys. Maybe just to follow up further on that line of questioning, maybe just sort of touch on the headcount within LodgeLink and where you'd like to see yourself within a year and then maybe just kind of the emphasis on sales versus development.
Trevor Haynes: Yes. So we don't segment and disclose how many employees in each part of the business, but currently we're just over 50 employees dedicated to LodgeLink. The real driver and balancing act with LodgeLink is that as our volumes rise, we're trying to correlate the increase in staffing accordingly. By what we're seeing on the customer acquisition and booking volumes from those customers, we would anticipate a headcount growth through the year in all segments of LodgeLink, customer support, customer service, commercial sales, as well as the product, marketing and then the support platform for finance operations.
Brent Watson: And do you see any bottlenecks forthcoming on kind of the infrastructure side? Or is it quite scalable at this point?
Trevor Haynes: I think the team has done a great job in building the core platform that we launched in 2019 to give us a really robust base. We can continue to iterate in that at features and products over top, but we think the core platform gives us through the firepower, if you will, to handle anything we can foresee over the next few years, which includes significant volume growth. There will be some other opportunities for adjacent revenue offerings that we'll have to explore at that time in terms of the type of product and software to deliver that. But in terms of what we're focused on as the core transaction today, we've got plenty of capacity as far as the product itself, and we've got a fantastic team who are every day adding to that product. So we don't see that as a near-term constraint.
Brent Watson: Okay, great. I'll turn it back over.
Trevor Haynes: Thanks, Brent.
Operator: [Operator Instructions] The next question comes from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Thanks. Good morning all. Just looking at your MSS utilization that increased to 78%, which is the highest I've seen. Is this mostly due to Vanguard or other – are there other things driving it as well?
Trevor Haynes: Well, there are a lot of contributing factors there. I'll ask Ted Redmond to comment. You could, Ted.
Ted Redmond: Yes, sure. It's pretty across the board. We've seen utilization increases in our MSS Pacific business. We've seen it in our MSS Eastern Canadian business and in our MSS U.S. business. So Vanguard utilization was right in that same range. So they definitely contributed, but I would say it's – a contribution pretty much across the board. I think all of our regions had significant utilization increases in 2020.
John Gibson: Okay, great. Do you see further room for improvement, particularly, maybe on the energy side in the U.S. specifically?
Ted Redmond: Well, MSS does not really have much energy related rentals. We're getting close to the point where we don't expect a lot of utilization growth, but as we start to hit the 78% utilization, there are opportunities to – for rental rate increases. So for 2021, we would be looking to do continued rental rate increases and grow the unit count through organic fleet growth. So both of those will contribute to increased rental revenue.
John Gibson: Okay, great. Just turning to Goldboro, I know you've provided some comments in the release in this morning as well. I'm just wondering if there's been any update on the project just in terms of it moving forward towards the positive FID here in the 2021.
Trevor Haynes: We're not working with the project proponent in terms of where they're at for financing, et cetera. We'd have to defer on that question to the Pieridae folks, but we can tell you that we're very engaged with Bechtel and with Pieridae and other stakeholders, engineering design, et cetera, which indicates to us that there's substance and detail to this part of the project path in terms of working through details and putting resources to this project to be ready when FID comes. Mike Ridley, anything you would add there?
Mike Ridley: No, I think you mostly covered it. And just to add to what Trevor is saying though, we're working with their team on a daily basis through designs and technical aspects of the project. We're working with our first nation partnership with Mi'kmaq on the project on a daily basis as well in terms of what it means to them. The project itself as you all know that these big projects have a – sometimes have a license of their own and they're working through the details of getting it to a positive FID, but beyond that on a day to day we keep working very closely with their team.
John Gibson: Okay, great. That's all for me. I'll turn it back.
Trevor Haynes: Thanks, John.
Operator: The next question comes from Greg Bennett, a Private Investor. Please go ahead.
Greg Bennett: Good morning. Thank you for the call. I appreciate it. With the WFS, is there a utilization rate for that that as far as to track a trending or how much capital you've tied-up right now, that's not earning any revenue?
Trevor Haynes: Yes. In the MD&A we do provide utilization and you'll see, the utilization has been improving over the last year or two. One of the setbacks for our WFS business this past year was our U.S. wellsite business, which operates primarily in Colorado and West Texas had been very stable for the three years prior. But with the collapse in oil prices following the onset of the pandemic we saw a fairly sharp decline in activity with our customers. And so that caused about 80% drop in utilization there. We're starting to see activity recover, but it's been fairly slow to this point. So the opportunity is for that fleet, which is well positioned, good quality to continue to get reabsorbed and generate cash flow again. Large format camp business in Canada as had for us, well for the whole industry has had excess capacity due to the slowdown in large oil and gas projects in Western Canada. We're seeing a pretty good activity level in mining that has been absorbing not just ours, but more broadly speaking capacity for remote accommodation, et cetera. And we've positioned ourselves really well. So positive and negative; there is non-producing capital on our platform and that we're still not quite at 50% utilized around that WFS asset base, I think we're in the 35 range. And so that gives us the opportunity as we get those assets to work. We don't have to expend additional capital and we can bring on cash flow against those assets, but that's the trend we're seeing currently. The downside of course, is we continue to have ideal capacity. so generally speaking, we see things as constructive around our workforce business but there's certainly assets still needing to get to work and add cash flow to the consolidated business performance.
Greg Bennett: If a final investment decision is reached for Goldboro, is there a need for capital that you need to invest capital, or do you have idle assets that can be utilized?
Trevor Haynes: Well the concept in – and the concept workthrough if the project owner was to substantial use existing assets and to be able to relocate them, but that's one of the value propositions we were able to bring to the project. And so it would be an exercise of taking existing assets. Some amount of reconfiguration for codes et cetera, and then to assemble them and bringing them on. So a little bit of capital for the renovation and a few buildings that we may not have in our system, but a fairly efficient from a capital perspective. Mike, do you want to add anything to that? I should have referred to you to begin with?
Mike Ridley: No, that's fine. Trevor, I think you covered, it's our full intention to utilize our existing assets and make them ready for the project. And that's the best part about this, and it will require minimal capital in relation to the scale and the magnitude of what this project is, and we have the assets available.
Greg Bennett: Would you expect that to be a cash flow generator for 2021 this year? If in June, they would decide to go ahead?
Trevor Haynes: Mike, do you want to give some color?
Mike Ridley: Yes. If they were to see a positive FID in, at the end of June or early July we would expect to see some – we would expect to see some revenue for sure in the back half of the year.
Greg Bennett: Okay. That's great. In LodgeLink are you seeing any competitive threat – any other companies coming into that market, or it seems to me like you have a first mover advantage, but is there a competitive threat there?
Trevor Haynes: Well, quick to point out that rule-based travel has existed for quite some time? I mean, our approach to this market was our understanding from the camp business that there were some inefficiencies and we felt we could add value if we could solve some of the complexities of rule-based logistics. But the movement of crews, the business travel association, the global business travel association pre-pandemic identified crew based travel on a global basis about $320 billion market. And so there were various traditional travel agencies, business travel services that were and continued to be in the space, working for companies or customers booking and providing services in that regard. We're focused on bringing the digital element and using a platform approach. So there are other travel platform companies out there that are focused on individual leisure travel, some that are working on the more traditional business traveler. We see some of the traditional service providers bringing some elements of software to the crew travel, but we think from a holistic perspective and being entirely dedicated to solving problems around crew travel that we have a unique approach to the market if you will, and that is where the opportunity is in our view.
Greg Bennet: Okay. I have one final question, which you may or may not be aware of, but for U.S. investors there's blue sky laws or state registration, are you aware that there's a whole group of people that are U.S. investors now that over half of your businesses in the United States with your MSS business, that can't purchase your stock on in the U.S. markets because it's not police guide?
Trevor Haynes: We are aware of that. Toby, if you want to give a bit of color on where we're at.
Toby Labrie: Simply put, we don't file in the U.S. or we're not under the SEC rules as an issuer in the U.S. at this point in time. And we're aware that is restricted to retail investors; but at this point in time you accurately or summarized the situation and in the very near-term we don't foresee a change to that, but it's certainly something for consideration as we continue to scale. And to your point, as we continue to become larger in the U.S. in terms of our revenue and our asset base.
Greg Bennet: Is there any reason for not wanting to pursue that?
Toby Labrie: Yes. I think the things that have held us back today is just from a cost and complexity point of view. For us, and so we – as Trevor mentioned we continue to look at it, but it hasn't surfaced as a top priority just yet.
Greg Bennett: Okay. Thanks. Thanks for the great job. Appreciate it.
Trevor Haynes: Thank you. Thanks for the questions.
Operator: The next question comes from Trevor Reynolds with Acumen Capital. Please go ahead.
Trevor Reynolds: Hey guys, Just wondering if you'd give us a little bit of color on the customer concentration in large link?
Trevor Haynes: Thanks, Trevor. Well the good news is the number of customers that are actively booking on our platform has continued to increase which –therefore decreases customer concentration. We do have a few larger customers or project-based certainly some of the fracking companies are great customers of ours. A couple of E&P companies, but increasingly we're seeing service companies in multiple different industries, power line maintenance, wind farms, tourists in the U.S. transportation companies. So we by the day are working hard on making sure we've got a really wide base of customers and we're getting increasing bookings and slowly winning if not all of their – 100% share of their spend, and we're certainly working towards that goal. Well, And Toby, if you have any additional Data points regards to customer concentration?
Toby Labrie: Well, I guess the only thing I would add there, Trevor is that it's been – we've been seeing increasing – steadily increasing diversification of our customer base has added into other geographies and have added a lot of supply in different markets. And so as Trevor mentioned, although the good news story on certain key customers have seen a lot of value with the platform and put all or nearly all of their volume with us but that gives us some concentration in some cases. However we do see the growing base of corporate customers and we see that. So we think that continues to level off over time.
Trevor Reynolds: Okay. Great. Do you have a rough breakdown of U.S. versus Canada bookings?
Trevor Haynes: The U.S. side has been growing but it's still representing, I think below 20% of total bookings. Toby would be there sort of a rough split. Of course it changes day-by-day, but I would generally say put 20% U.S. bookings it's growing quickly, certainly the U.S. in terms of total market size for group-based travel is significantly larger than Canada. And so we're putting more and more marketing and sales resources towards U.S. market. So we anticipate that that will continue to grow even as the Canadian volumes grow as well.
Trevor Reynolds: Perfect. Assuming Goldberg goes ahead, where does that – where would that put your utilization at?
Trevor Haynes: That's a great question. The large format camp fleet in Canada, we would see a substantial jump in utilization. Keep in mind that the way these large camps are deployed, we would go in phases as the project ramps up its manpower. So it wouldn't all happen on day one, but certainly the absorption of existing fleet from our 35% to 40% utilization we're currently at, we could certainly see that going up to be conservative 70% or higher once those assets are fully deployed. I think directionally that'd be the way you would see it as well. Mike Ridley?
Mike Ridley: Yes. For sure, let's say, we'll be [indiscernible] double to where we're certainly at.
Trevor Reynolds: On the Australia side, you guys are basically fully utilized after that the recent contract there. What's the plan there? Are you guys looking to grow that fleet? Are you happy just equip cash there?
Trevor Haynes: We have been gradually growing the fleet but yes, we're generating more cash than we've been putting to work in Australia. And it's the workforce fleet that would be substantially fully utilized or essentially fully utilized once we deploy the recent contract win. But generally speaking we're very constructive on the Australia marketplace. And Mike in terms of total utilization, if you can give some color there?
Mike Ridley: Yes. For sure. In Australia, we also have an MSS business that falls under workforce, are in a big focus on education in Australia, and that's been extremely strong in Brisbane and in the Sydney area. So we see continued growth in that market, as well as for a space rentals fleet. And then workforce will add – will strategically at capital when the opportunities present itself as we win projects going forward.
Trevor Reynolds: Perfect. That's all for me. Thanks.
Trevor Haynes: Thanks, Trevor.
Operator: The next question comes from Jeff Fetterly with Peters & Co. Please go ahead.
Jeff Fetterly: Good morning, guys. A couple of quick follow-ons; in terms of WFS utilization, I know you referenced some 50% broadly, but the private washroom component of the fleet, where would that fit today?
Trevor Haynes: It's a good question. Mike, do you want to take that one out?
Mike Ridley: Yes. It's probably not far off of Jeff. Surprisingly enough with – the one thing we I'm really pleased with is we've done a very good job in terms of diversifying as Trevor talk to in the, in the pre part of the presentation here. So we're seeing a lot of activity in the mining and disaster relief in government construction, and that the Jack & Jill format wash cars or Jack & Jill format dorms. We're seeing at bundles of those taken at the same time in those sectors. So with that, we're where we're seeing the private format doors being taken is we're, we're active as you know, on the coastal gas link and the trans mountain project. And it's clearly balanced, we are pleasantly surprised with the results that we are seeing out of our Jack & Jill format, and our 49% format norms.
Jeff Fetterly: And sort of Goldboro moves forward, is that going to be exclusively a private washroom configuration would be.
Trevor Haynes: Yes, it would be – Jeff, it would be primarily private format, and there would be some refurb on some existing assets to get them into that format, but it’s a – yes, it’s 95% private format.
Jeff Fetterly t: Okay. The capital program at the $35 million, how much of that do you have line of sight on today?
Trevor Haynes: Purposefully in Q1, our CapEx is fairly late as we show in the MD&A. We’ve been focused on bringing the Vanguard platform into the Black Diamond world and understanding cash flows and for capital demand from that system, which is very strong. We’re seeing good capital deployment opportunities from the Vanguard platform. So we will gradually accelerate us. We’re comfortable with our cash is working and where our debt levels are, and that we’re progressing to that that target of being below 3 to 1 debt-to-EBITDA. So we have confidence that we’ll be able to absorb the $35 million through the year and that we’ll be able to do so at or above our return hurdles. We have been prioritizing project specific. So often we’re bidding new capital for long-term leases, whether that’s in the education sector or in the more general industrial rentals. And we’re seeing really healthy pipelines, really good demand through MSS for exactly that. And then depending on, as we get into Q2 looking at how our cash flow is working, what the project specific demand is versus that $35 million will consider some fleet additions. And as Ted mentioned earlier, we’ve got a really tight utilization or very high utilization in our British Columbia market and our Ontario market specifically where we see good return metrics and we would like to expand our footprint. So that’s generally how we’re approaching it. We’re also watching the dispositions of assets and the normal course, we do sell assets to customers for various reasons in our MSS business. And then we’re also seeing certain types of mining in as we see activity around mining in Canada increasing make sense on some of those projects where they have more of a steady manpower for a longer period of time to acquire assets. And so there’s some opportunity in that as well, which as we free up that capital we can look at where we sit on our estimate of net CapEx for the year of the $35 million is gross. So we think we’ve got a positive situation in that regard. If that answers exactly your question, but that’s how we’re looking at our CapEx at this point in time.
Jeff Fetterly: It’s safe to say there’s going to be a heavy waiting for the $35 million to the second half of the year.
Trevor Haynes: To the middle of the year, usually Q4 as we get into even our MSS business, if you look at the trend over the last several years. Q1 tends to be the weaker, because in most of our Canadian markets construction starts or correspond with flaws coming out of the ground, whether that’s in the Greater Toronto Area or even a similar trend in the Lower Mainland BC and certainly everywhere else in Canada. So we tend not to want to put a lot of new assets on the ground at the end of the year. So you will see Jeff more a to Q3 capital expenditure profile for us this year is what we see at this point in time. And maybe Ted touch on just a bit more color on how constructive the bid logs and our pipeline are looking on the MSS business as it relates to our CapEx.
Ted Redmond: Sure. Yes, we see a good backlog for this time of year significantly better than last year as we continued to grow our geographic reach and grow our sales teams and of course the acquisition of Vanguard. We have lots of opportunities for deploying CapEx. Again as Trevor said, we’re focusing on, where we have specific bids to customers or specific customer awards that require capital. So we know exactly the term of the contract and the returns we’re going to get on those assets for the first typically two to four years that they go on rent as we get into the latter part of the year and have more capital available. We would do more limited fleet purchases, again prioritizing the bid. The actual customer customers that have a specific project and are ready to sign a contract to get the priority.
Jeff Fetterly: How much cost inflation are you seeing right now on the MSS side, in terms of building units, especially with all of the input costs changes that we’ve seen over the last few months.
Ted Redmond: We – over the last year, we’ve seen moderate price increases. We are also getting price increases from our vendors. Especially the last month or two we’ve seen increases in lumber and metal pricing. So that impacted our pricing. So what we’re doing is a lot of our quotes we’re doing with – like with short-term, so 14/30 [ph] big validity, so that and we get our pricing locked in from the factory for that same 30-day period. So we’re not taking any risk. We also use current pricing when we’re figuring out the return on an asset. So we’re kind of we know what the price is. We know what the rate we’re getting from the customer. So we don’t – we’re not seeing a lot of risk from that, but we’re definitely seeing price increases kind of roughly in the 5% to 10% range for modular units.
Jeff Fetterly: And the rate – the rental rate increases you’ve referenced through the call. Are you seeing net pricing improvement? Or is it largely offsetting the input cost inflation that you’re saying?
Ted Redmond: Certainly, over the last two years, I think we’ve seen net pricing improvement. I would expect that we would at least stay steady and probably in – again it’s only the new assets that have the higher price. So the vast majority of our assets that are organically growing our fleet say 7% during the year, the other 93% of our assets are at historical cost. And so the price increases we get on those drives margin increases. So overall we’re definitely driving margin increases with our price increases and staying at least steady on the new assets and meeting our return hurdles on the new assets.
Jeff Fetterly: Last question, just on the CapEx side, is there a scenario where you would be comfortable or see the opportunity to spend more than $35 million this year organically?
Trevor Haynes: Well, there are scenarios and one of the benefits of this type of platform is, we don’t have a fixed CapEx demand. Our maintenance capital is typically about 5% of our rental run rate. And so really our CapEx and the bulk of that $35 million is opportunity driven. And when we look across the platform, I mean you’re looking at literally hundreds of different individual opportunities driven by specific customers with specific requirements. And we can look at that and determine how to price that opportunity and whether or not the funded we do have because of the way our contracting works. We also have flexibility where we can use a third-party financing for our customers, et cetera. So we can still take the volume with our customer, even if we choose not to put the asset on our book specifically, if you will. So we look at addressing the opportunity in the marketplace, our focus on market share, focus on returns and then looking at our capital capacity, our financial capacity. And so if the business is strong, we would be comfortable accelerating the CapEx program for sure or it could be opportunity driven where really good rates of return with a really strong counterparty with an attractive length of a contract term. And we would then take that decision in the context of where we’re at with our debt levels and our objectives for where we want to be on a debt level basis and how the cash flow is working on the platform. So I think Jeff, the answer there is that we’ve got a good deal of flexibility, and we’re using a very robust database decision methodology here. And even there we’ve got optionality into still do the business, but maybe not necessarily take the assets immediately onto our platform.
Jeff Fetterly: Thanks for the color. Appreciate it.
Trevor Haynes: Thank you, Jeff.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Trevor Haynes, the CEO for any closing remarks.
Trevor Haynes: Thank you, operator. Thank you, everybody for your time today and interest in Black Diamond. We look forward to updating you again in this format after our Q1 release in early May. And of course, we’re always available should you want to reach out directly. Thank you, and have a great day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.